Operator: Greetings, and welcome to the Streamline Health Solutions' Fourth Quarter 2021 Earnings Conference Call. At this time, all participants are in a listen-only mode. A question-and-answer session will follow the formal presentation.  As a reminder, this conference is being recorded.  I would now like to turn the conference over to your host, Jacob Goldberger, Director of Investor Relations FP&A. Please proceed. 
Jacob Goldberger: Thank you for joining us for the corporate update and financial results review of Streamline Health Solutions for the fourth quarter and fiscal year 2021, which ended January 31, 2022.  As the conference call operator indicated, my name is Jacob Goldberger. Joining me on the call today are Tee Green, President and Chief Executive Officer and Chairman of the Board; Ben Stilwill, President and CEO of eValuator; Jawad Shaikh, President and CEO of Avelead and Tom Gibson, our Chief Financial Officer. At the conclusion of today's prepared remarks we will open the call for a question-and-answer session. If anyone participating on today's call does not have a full-text copy of our press release announcing these results, you can retrieve it from the company's website at www.streamlinehealth.net or from numerous financial websites.  Before we begin with prepared remarks, we want to be sure we are clear for everyone on the record that certain information which may be provided today as with all of our earnings calls should be viewed. We therefore submit for the record the following statement: statements made on this conference call that are not historical facts are considered to be forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These are subject to risks, uncertainties, assumptions and other factors that could cause actual results to differ materially from those we may discuss. Please refer to the company's press releases and filings made with the US Securities and Exchange Commission, including our most recent Form 10-K Annual Report, which is and filed with the SEC for more information about these risks, uncertainties and assumptions and other factors. As always, we are presenting management's current analysis of these items as of today. Participants on this call should take into account these risks when evaluating the topics we will discuss.  Please note, Streamline Health is not undertaking any commitment or obligation to publicly revise any such forward-looking statements made today. On today's call we will discuss non-GAAP financial measures such as adjusted EBITDA and unaudited figures related to our acquisition of Avelead. Management uses these measures to help provide better insight into our financial performance. However, certain items of the income and expense are not included in these measures. So these calculations may differ from those which another entity may utilize in calculating their own non-GAAP measures. To compare these amounts on consistent terms, please refer to our website at www.streamlinehealth.net and our earnings release for a reconciliation of such non-GAAP measures to the most comparable GAAP measures.  I would now like to turn the call over to Tee Green, President and Chief Executive Officer. Go ahead Tee. 
Tee Green: Thank you, Jacob. And thank you all for joining us this morning. As a reminder and as we have previously announced on August 16, 2021, we acquired Abilene. And going forward, there financial performance will be included in our GAAP results from that date.  With that, I'll get started. Beginning with the financial overview of fiscal year 2021, we ended the year with roughly $6.1 million of new SaaS bookings and $13.9 million of total new bookings, we believe operating conditions within acute-care hospital systems are improving as COVID's impact lessens. As a result, we expect to see an accelerated pace of bookings for both Avelead and eValuator solutions. Going forward, we expect our bookings performance to be in average range of $3 million to $5 million per quarter through fiscal 2022. We have already achieved this goal for our first fiscal quarter.  On an unaudited pro forma basis, assuming we had owned Avelead for the entirety of this and last year total revenue for the fiscal year 2021 was approximately $22.6 million, a 15% increase compared to approximately $19.7 million during fiscal 2020. Pro forma unaudited SaaS revenue totaled approximately $11.3 million in fiscal 2021, an 82% increase compared to approximately $6.2 million during fiscal 2020. We are pleased to see the significant expansion of our SaaS revenue. We continue to focus our resources on the growth of our SaaS business.  Moving now to our GAAP consolidated financial results for the 12 months ended January 31. Total revenue for fiscal year 2021 was $17.4 million, a 53% increase from fiscal 2020. Notably, our SaaS revenue grew 121% from 2020 to 2021. Recurring revenue accounted for 71% of total revenue in fiscal 2021 compared to 73% for fiscal 2020. We have successfully grown our recurring revenues despite the difficult sales environment our industry has experienced for the past two years as a result of the COVID pandemic.  Adjusted EBITDA for fiscal 2021 was a loss of $2 million compared to an adjusted loss of $1.9 million in fiscal 2020. As of January 31, 2022 we had $9.9 million of cash on hand, with $10 million of debt related to a term loan, which we entered into with Bridge Bank subsequent to the acquisition of Avelead. As a reminder, to close the Avelead acquisition we utilized approximately $12.5 million of our cash and issued approximately $6.5 million of restricted stock to the sellers. In addition to the closing consideration, we contracted an earn out over the next two sequential 12 month anniversaries of the closing of Avelead that is tied to Avelead’s performance and includes a combination of cash and restricted common stock.  Our cap table remains clean with only one class of common stock. Tom Gibson, our CFO will provide additional details about our financials during his prepared remarks. As a company, we continue to follow a simple formula for successful growth, innovation plus service equals growth. Our goal is to back-up our innovative industry leading solutions like eValuator and Rev ID with world-class client success teams to create a community of clients that enhances our potential for long-term revenue growth.  Today, our flagship solutions eValuator and Rev ID are leading an industry movement to help our hospital clients capture 100% of the revenue they have earned for the care they have provided through revenue integrity validation before a bill goes out the door. Our focus on shifting revenue integrity practices to the front end of the revenue cycle yields significant return on investment for our clients and is driving a rapid SaaS revenue growth.  Over the course of the past six months, we have made significant investments to upgrade eValuator’s direct sales force, and most recently we brought Amy Sebero on board as eValuator’s new Chief Growth Officer. Amy is an industry veteran with four decades of experience, improving the financial well-being of healthcare organizations, including 28 years with nThrive. Joining us on today's call are Ben Stilwill, President and CEO of eValuator Solution and Jawad Shaikh, President and CEO of Avelead Solutions, who will be giving updates on their respective businesses.  Ben is a motivated later poised to take eValuator through its growth phase. Ben has been with Streamline since 2013 and during his tenure he has touched every part of the eValuator business. Most recently, Ben was the leader of eValuator is client success function. He is directly responsible for creating an industry leading customer service experience, listening numerous referenceable client, advanced relationship with our clients makes him the perfect fit for the leadership position at eValuator. You were previously introduced to Jawad Shaikh, President and CEO of Avelead Solutions. Jawad and Avelead have made tremendous progress in adopting our winning processes.  I'll now turn it over to Ben to introduce himself and provide an update regarding eValuator. Ben?
Ben Stilwill: Thank you, Tee, and good morning. I've had the fortune of working with Streamline for the last nine years, gaining exposure to functions across the company, beginning in finance before moving into IT, then sales and business strategy. Over the last two years I've led our Client Success Team focused on aligning our clients' journey in enabling their financial and operational success. Our clients and prospects are medium to large-sized hospital systems, they experienced persistent challenges in efficiently capturing and accurately reflecting the value of care they provide.  This can be attributed to the complexities and coding, a lack of integration in the systems which process and report the coding and hardships with staffing, while many of the prospective clients we talk to are aware of their hurdles and the potential solutions in the market, they are also very familiar with the disruption that comes with implementing new solutions and changing existing processes.  eValuator helps with many of those problems, and does so before bills are sent out the door. Our solution is built on decades of experience in coding and auditing and has been constantly updated for both regulatory changes and hyper-specific scenarios mined from our data that has been incorporated into our proprietary rules based engine. An intuitive workflow combined with centralized dashboard reporting and power end-users and leadership alike to make agile improvements for efficiency and accuracy. Being cloud-based our solution integrates directly and easily into coding systems and it can be implemented by our clients in under 60 days, enabling remote teams with limited IT resources to achieve the return on investment quickly.  One of our newly implemented clients went live in under 60 days and achieved a positive ROI from eValuator in its initial months. Another client was able to add unbudgeted resources using eValuator reporting, which identified substantial  (ph) revenue. A recent staffing shortage another client turn to us for a process improvement projects and we're able to help supplement their staffing. Our clients are our partners and they're becoming raving fans, thanks to the success they're experiencing with eValuator. I believe these client stories and references supplemented with data analysis showing positive ROIs potential prospects will allow us to expand our client community.  As Tee mentioned in his introduction, Amy Sebero has joined our company to lead the growth area of eValuator solution. Amy was previously responsible for SaaS revenue in excess of $220 million, as well as managing relationships with over 900 health systems, including 37 of the 40 largest health care providers in the US. Amy's resume speaks for itself and we're looking forward to benefiting from her extensive relationships with hundreds of hospital systems and years of experience operating in our industry. Amy’s focus is on activating potential clients in the early stages of our pipeline to sign contracts with us. I believe her experience in the market, combined with a more normalized environment will accelerate bookings.  Additionally, many of the contracts in our pipeline today are, on average, larger than our historical $300,000 annual contract value. As for our recent performance during the fourth quarter, we signed another North Carolina hospital system, our third. Additionally, we signed a seven facility Epic-HER Health System in Pennsylvania in the first quarter of fiscal 2022. During the fourth quarter our inside sales team successfully added $11.3 million of total contract value to the pipeline, while our reseller partner channel added additional 17 new prospects.  Before I hand the call back over, I'd like to thank all of our associates at eValuator solutions from software development to client success, services, sales and finance for the dedication they have to making sure our clients are successful. And to our clients who have built a community with one another around bettering their teams, improving financial performance and providing us the feedback that is making eValuator better.  I will now turn the call over to President and CEO of Avelead, Jawad Shaikh to provide a business update for Avelead. Jawad? 
Jawad Shaikh: Thank you, Ben, and good morning to all. As a bit of a background and for those of you who are new to our story, I'll begin first with a brief overview of Avelead. Avelead’s mission is to put an end to lost revenue for our healthcare providers. As those of you follow the revenue cycle management space closely, most healthcare organizations are losing millions of dollars every year as a result of clerical errors and the increasing complexity in coding and billing. At Avelead we've built a suite of revenue cycle solutions that born out of our consulting practice that just like eValuator help our health care providers capture 100% of the revenue they've earned.  Also just like eValuator, at Avelead we go to market through a combination of direct selling and through channel partnerships with industry influencing EHR leaders. Like eValuator, our solutions are EHR agnostic, we enjoy a long-standing relationship with Cerner, which has helped drive our growth and help Cerner continue to envelope their clients.  Our flagship Rev ID eliminate revenue leakage by ensuring all clinical activities are billed. In addition to Rev ID, we also sell our powerful compare tool, a comprehensive audit and interoperability software that assist the hospital clients with the integration and implementation of Rev ID and other non- Avelead products within the revenue cycle management space. Additionally, we are in the early stages of rolling out novel cloud based solutions for different portions of the healthcare providers revenue cycle management processes that we developed based on client demand. We will keep you apprised of our product development progress in future updates.  Today, our solutions and services are utilizing more than 90 facilities and in every case, we have delivered a significant positive ROI for our clients. Our largest existing client increased their usage of our solution by eight new facilities in the first quarter of fiscal 2022. Avelead is at an exciting point in its history, as we continue our mission of enabling hospitals to better capture and accurately build charges through the revenue cycle processes, we made the strategic decision to expand our leadership team to include a Chief Technology Officer and a Senior Vice President of Services. By expanding our leadership team, we are better positioned to provide world-class service to our existing clients, while executing on our product roadmap.  As a reminder, Avelead’s focus for 2022 is to improve the innovation and service components of our business to set the stage for rapid future growth. With that said, growth opportunity in 2022 is to expand our footprint within existing contracted clients. Further, we have an exhaustive list of opportunities through our large channel partner Cerner, we have successfully worked with Cerner to build our existing client base and pipeline. Within our sales process, we plan to leverage Rev IDs proven ROI and satisfied client relationships to drive bookings and revenue in fiscal 2022. Just like eValuator we see opportunities opening up as the impact from COVID retreats within both our direct and partner channels.  I will now turn the call over to our CFO, Tom Gibson to review our financial results in more detail. Tom? 
Tom Gibson: Thank you, Jawad. Total revenues for the fourth quarter of fiscal 2021 were $6 million, a 103% increase over the comparable period of last year. $2.5 million of the increase was attributable to the acquisition of Avelead on August 16, 2021. SaaS revenue increased $1.7 million or approximately 155% compared to the same quarter a year ago.  Total fiscal 2021 revenue was $17.4 million, a 53% increase over fiscal 2020. $4.5 million of the increase is a result of the acquisition of Avelead. SaaS revenue for fiscal 2021 increased $4.4 million or approximately 121% compared to fiscal 2020. Fourth quarter 2021 operating expenses totaled $8.2 million compared to $4.3 million for the prior year period. $3 million of the increase was related to the acquisition of Avelead. $146,000 of the increase is related to non-routine costs, primarily attributable to the acquisition.  Fiscal 2021 operating expenses were $28.1 million compared to $17.3 million in fiscal 2020. $6 million of the full-year operating cost increase was the result of the Avelead acquisition. The remaining cost increases over fiscal 2020 can be explained by investments in the sales and marketing teams and innovation cost for the eValuator solution. And $2.9 million related to non-routine costs primarily attributable to the acquisition.  Loss from continuing operations for the three months ended January 31, 2022 was $4,000 compared to loss from continuing operations of $1.6 million for the three months ended January 31, 2021. Loss from continuing operations for the three months ended January 31, 2022 included $146,000 of non-routine costs and other income of $2.3 million, primarily related to the acquisition of Avelead. The income of $2.3 million was a direct result of a valuation adjustment on the acquisition liabilities that were set up on the Avelead opening balance sheet.  Loss from continuing operations for fiscal 2021 totaled $6.9 million compared to $4.8 million in fiscal 2020. Loss from continuing operations for fiscal 2021 included $2.9 million of non-routine costs and other income of $1.9 million, each were primarily related to the acquisition of Avelead. The company also recorded $2.3 million of other income as a result of the forgiveness of its PPP loan for the full fiscal year ended January 31, 2012. For fiscal year 2020, the company recorded an income tax benefit of $1.3 million to reduce its loss from continuing operations.  Adjusted EBITDA for the fourth quarter of fiscal 2021 was a loss of $299,000 compared to an adjusted EBITDA loss of $122,000 in the same quarter of fiscal 2020. Adjusted EBITDA for fiscal 2021 was a loss of $2 million compared to an adjusted EBITDA loss of $1.9 million in fiscal 2020.  Moving to the balance sheet, as of January 31, 2022, we had $9.9 million of cash on hand compared to $2.4 million at the end of fiscal 2020.As Tee indicated in his remarks, the company completed the acquisition of Avelead utilizing approximately $12.5 million of cash and $6.5 million of restricted stock at closing. Under the acquisition agreement the company will provide additional consideration on each of the next two 12 month anniversaries of the closing date. These will be paid to the sellers in cash and stock and our valued on the balance sheet at approximately $8.8 million. These liabilities are referred to as acquisition earn-out liabilities and our an estimate of the present value of the future amounts that will be pay in both cash and restricted common stock upon the anniversary date of the acquisition.  Subsequent to the closing of the Avelead acquisition, we entered into a five-year $10 million term loan with Bridge Bank. There is no repayment of the term loan required in the first year following the close. $500,000 is required in the second year following the close, which equates to a $41,667 monthly payment beginning in September 2022. The company maintains its position that the uncertainty related to the effects of the novel coronavirus on the health-care market prevents us from providing detailed guidance.  We are targeting an average go forward SaaS bookings pace of $3 million to $5 million of TCV per quarter for 2022. The company is well positioned to achieve its target bookings in 2022. Streamline remains focused on continued growth of SaaS revenue, the growth of our SaaS revenue tempered on a sequential basis this quarter as a result of an outsized payment recognized in Q3 2021. Going forward, we expect SaaS revenue to remain at its current levels in the fiscal first quarter of 2022 before resuming the strong sequential growth that the company experienced through all of fiscal 2021.  The company continues to evaluate its consolidated forecast with Avelead as noticed on our previous update, we are optimistic that the combined entity will reach cash generation by Q3 2023.  That concludes my remarks. I will now turn the call back to Tee Green for his closing remarks. Tee? 
Tee Green: Thank you, Tom. As we close out fiscal 2021, I want to recognize the tremendous change that has occurred in our organization over the past 12 months from our transformational acquisition of Avelead, through the new leadership and clients we've added, we have taken major steps forward to drive more diversified recurring revenue streams and better position our company for long-term growth. I'm proud and grateful for the hard work that our teams exhibited very tenuous macro conditions and large scale evolution of our business.  Before we begin our Q&A session, I'd like to once again thank the entire Streamline team for all their hard work and dedication during these uncertain times. Their contributions are essential for us to support our health care providing clients and ensure they have the necessary tools to free up time and resources to provide quality care for the communities they serve. Thank you all for your support of Streamline Health and for your support of our vision.  Now, I'd like to open the call up to your questions. Operator? 
Operator: At this time, we will be conducting a question-and-answer session.  Our first question is from Matt Hewitt with Craig-Hallum Capital Group. Please proceed with your question. 
Matt Hewitt: Good morning, and thank you for taking the questions. Maybe the first one is, if you could provide an update on what's you're hearing from customers and potential customers regarding the sales process. I know that the last couple of years has been incredibly challenging, hospitals in some places were reluctant to bring in new software or even applications or services because of the pandemic, just feeling that their employees are already dealing with too much. But as we kind of exit, they appear to be exiting stricter confines, are you starting to see things open up a little bit? 
Tee Green: Hey, Matt. It’s Tee. Thanks for the question and thanks for joining us this morning. Quick answer is, yes. And you're seeing it in our Regional Vice President who has been able to travel again and going site and have dinners and do presentations live. So that's an early indicator that things are beginning to fall. And another one that I point to is our tradeshows, like  (ph) in May. We did a Region 5 show and created just seven plus opportunities just for eValuator just at that show. I mean people are -- people are re-engaging, I guess, is the right word and that's a welcome for sure. 
Matt Hewitt: That's great. And then since Ben is on the call this morning, I actually have a couple of questions for you. I'm curious, if you've been with the firm for a while, but obviously in your new role have you implemented any changes? And with Amy coming on board, what have you been able to learn since she joined, obviously, in the past month? 
Ben Stilwill: Hey, Matt. Thanks for the question. So having been in the Client Success organization for the last two years and seeing some good progress just focusing and putting the client more at the center of things, that's kind of the mentality that I'm trying to bring to our management team. So whether it's getting the development team more in front of the client stories that I kind of mentioned or getting the sales team more familiar with how our successful clients are able to work, I think that's really started to make a difference and people are more aware of the use cases, which helps define our roadmaps and how we approach prospects.  So I think that's the major change that will kind of see in our purpose statement and things like that, it's much more partner and client-focused. And then as far as Amy, I mean, I really enjoy working with there so far. She has a good balance of both the art in the science of selling. So on the science side, she has put in place new reporting and dashboards, she has quantitative expectations around trade shows, a prospect fit tool to make sure we're approaching the right health systems that sort of thing, but like I said, the number of connections that she has in the industry is very helpful. She has already reached out to a number of CFOs, just to talk about our market applicability and how we're approaching potential prospects, and then obviously trying to bring the ones that actually do make a good fit for us into the fold more significantly.  So, she's very helpful on the sales front, but just being on the leadership team that we have as well as we talk about where the product is going to go over the next couple of years and define that vision her industry expertise is very, very helpful. 
Matt Hewitt: That's great. And then maybe one more from me and I'll hop back in the queue. But in the presentation, I think you mentioned that 17 new customers have been added to the pipeline from your reseller channel, maybe just an update on which partners you're starting to see some traction with and how quickly those could translate from pipeline opportunities to potential signed contracts? Thank you. 
Tee Green: Perfect. Yes. So we have both what we call value-added resellers, which there is some level of integration with the technology itself. And they have pretty good footprints and we see a lot of opportunity there. So right now we're going through the motions of talking to their sales teams to their integration teams, some of which we already have integration at a client or two, but trying to expand upon that relationship. I think that one is probably a little bit -- it's probably a little bit easier to do because we have a proven use case, and I think we'll see that towards the -- I still think it's in probably Q3 or Q4 that we'll see a lot of increase there. And then we have sort of traditional resellers who are our people who are going out in the market. They have relationships and they have maybe a consulting relationship or something like that already in place and it's, been advising based on the needs that they currently have that eValuator would be the appropriate product. And so, it's a different profile and so there is -- it's probably a little bit longer of a pipeline or a tail, I should say than the ones that are value added. But both -- we're trying to hit both of them because we see them as really a multiplier of growth as opposed to individual relationships that we set up with our direct sales team. 
Matt Hewitt: 30:47 That's great. Thank you very much. 
Tee Green: Sure. 
Operator: Okay. Please standby. One second. Our next question comes from Niraj Gupta with GCI Partners. Please proceed with your question. 
Niraj Gupta: Thank you, and good morning everybody. Appreciate you guys doing this expanded format for this call. Very helpful. I guess my first question, if I could ask Jawad a couple Giovanni. Jawad, can you talk a little bit about the client expansion from the -- that you guys announced recently that meaningful expansion. What drove that? And could you also just give us a little bit of history on the duration of the relationship just to kind of give us some perspective? 
Jawad Shaikh: Sure. Yeah. Thanks for the question, Niraj. Yeah. The expansion was with an existing client that has actually been getting a lot of value and utilization out of the tool. They've seen the successes that they had. They have a large footprint of hospitals. So we were just probably about a third of their hospitals. So we're slowly kind of expanding that and we've proven it working really well there and they just want to trying and expand that into additional one of their hospital sets as well too.  So that's what's driving that growth, just our success at our existing facilities and we are trying to expand it to the rest of their facility. And they're one of our early adopters and we've been with this client or they've had been live on our Rev ID product for roughly over two years. 
Niraj Gupta: Okay. So you had the relationship for two years and with this expansion that you're doing, would you say you're closer to 50% penetrated in the systems. Is that fair? 
Jawad Shaikh: Yeah. I'd be accurate. 
Niraj Gupta: Okay. So is that another way of saying you had another -- you have an opportunity to further double your revenue with this customer over time? And is that a reasonably likely possibility? 
Jawad Shaikh: Yeah, it's likely kind of overtime as well to. There is a different models or different type of facilities and hospitals that they have. So it's kind of a mix. I don't know if it will be every 100%, but it is something that we're going to continue to grow into. And there is still definitely room for our expansion with -- even within that client base. 
Niraj Gupta: Okay. And do you think that this client base just -- again, just kind of thinking about the opportunity just with one really large customer. Do you think that there is an opportunity for other solutions like compare that you announced today? And also, are they potentially a candidate for eValuator over time? 
Jawad Shaikh: Yeah. One of the things our kind of strategy is like, we're going to do it really well, we're doing really well with this client and others and doing that kind of land and expand approach because once we have a great relationship with them and we can solve some of the problems and especially some of the things that the industry is dealing with around staffing and then coding, which is obviously one in once while too. It just naturally opens the door to add some of the additional products that I mentioned earlier, as well as eValuator to that mix.  So that's the strategy and that's the plan and that will open the gateway to hopefully do that more with this client, as well as others. 
Niraj Gupta: So another question, just about lead gen, right, or just -- I thinking about like piloting -- my understanding is, you're working on a pretty large pilot right now with another large health system. Could you just speak to kind of how that's progressing at this early stage? And also, is this something like -- how are you driving these relationships? Is this again an extension of the Cerner relationships? 
Tee Green: Yeah. Let's go onto the next question if we can. 
Niraj Gupta: Okay. All right. Then maybe one for Ben. Ben, could you -- Ben, could you speak to maybe just how your experience with eValuator has evolved over the last couple of years? For us sitting on the outside, it's kind of hard to see what's been going on, because we've been dealing with -- watching from a distance why you guys have been dealing with COVID, et cetera. But can you talk about kind of the changes that you've implemented and you've seen implemented in the organization over the last two years period of time? And how our go-to-market is different versus what it was two years ago? And why you feel so optimistic going forward? 
Ben Stilwill: Sure. I would say that the clients that we've added in the last maybe going back three or four years now have been very successful. And I think the reason for that is, our emphasis on the client success. So we have a team that meets with our clients on a monthly basis to say what's being most effective. How do we make sure that the resources you do have are being able to review the most encounters, The rules that we have which ones need to be turned on and turned off and really a level of customization for that client that has peker high water, they're going to be successful. Because we're making sure that they're reviewing exactly the right encounters, and then that feeds back into the features we develop and then the rules we write, et cetera.  So I think that has started to really be an additive process. And so the latest clients that we have coming on now are going live in less than 60 days, because we don't have any technical barriers to getting them live and then we're basically day one, we already have things configured so that they can review the better encounters and it kind of -- this has just accelerated everything.  The thing that I would say is, as COVID has gone on the demographics of the encounters coming through. We've been able to learn from that, but as we come out of -- hopefully come out of COVID we're now shifting the rule sets and we're able to shift the rule sets to a place where we see how those demographics change and really pivot towards that. So I think the clients that we have there, they are raving fans like I said, and they're willing to be references, they want more people within their client community, because they see talking to each other and building on that as being a plus. 
Niraj Gupta: Great. Thanks so much guys. Appreciate again all the updates and it's nice to see things coming together. Good luck going forward. 
Tee Green: Thanks, Niraj. 
Operator: It appears that there are no further questions at this time. I would like to turn the floor back over to Jacob Goldberger for closing remarks. 
Jacob Goldberger: Thank you all again for your interest and support at Streamline Health. If you have any additional questions or need more information, please contact me at jacob.goldberger@sstreamlinehealth.net. We look forward to speaking with you all again when we discuss our results for the first quarter of fiscal 2022. Good day. 
Operator: This concludes today's conference. You may disconnect your lines at this time. Thank you for participation. 